Operator: Greetings, welcome to the Fortitude Gold 2025 Third Quarter Conference Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Mr. Jason Reid, CEO of Fortitude Gold. You may begin.
Jason Reid: Thank you, and good morning, everyone. Thanks for joining Fortitude Gold Corp's 2025 Third Quarter Conference Call. Following my brief comments and associated presentation for those who joined online, we'll have a brief question-and-answer period. Joining me on the call today for the Q&A portion will be Ms. Janet Turner, our Chief Financial Officer. Let me remind everyone, certain statements made on this call are not historical facts and are forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in this earnings release that we issued yesterday, along with the comments on this call, are made only as of today, November 5, 2025, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures referred to in our remarks and in our Form 10-K filed with the SEC for the year ended December 31, 2024. Second -- excuse me, third quarter financial results and highlights includes $4.7 million net sales, $0.2 million net income or $0.01 per share, $11.7 million cash balance at September 30, 2025, 1,384 gold ounces produced, $28.5 million working capital at September 30, 2025, $2.5 million mine gross profit, $1.6 million exploration expenditures, 1,244 total cash costs after by-product credits per ounce sold, $1,956 per ounce total all-in sustaining cost, $0.7 million dividends paid, 619 ounces of gold rounds or bullion at September 30, 2025. At Isabella Pearl project, we continue to move waste from the [ pro ] pit layback. We begun to access the top of the mineralized gold zone trending Southeast deep from the bottom of the pit. [indiscernible] leach of our heap leach pad and the mineralization in the [ propane ], both areas are expected to provide the bridge, putting our County Line project into production. We are pleased and excited to now have all our County Line permits. We think the pro business and pro-mining Trump administration that is working through the permit backlog. After the brutal 4 years in the Biden desert, we finally have all the necessary permits and the bonding is in place for our County Line project. We have begun drilling the water well and are planning for other infrastructure projects in the near term. We hit water and our pump testing and developing the well now. It's looking promising that we have enough adequate water for the project. We are looking at the possibility of taking a few pieces of equipment over soon and mining some gold in historic pit as initial mining before the larger pit layback and waste removal. It's nice optionality to have and we see -- and we will see if we ultimately use it. Look to take advantage of this permanent momentum and are pushing permits for Scarlet South. The government shutdown hasn't helped but we feel we are closing in on a permit to mine that mineralization. In an ideal world, that permit would drop in soon, and we would take advantage of the mining equipment at Pearl and cycle the equipment back and forth between Scarlet and Pearl. Scarlet South permit, take too long, we would then place -- or didn't plan to move our focused County Line, but the possibility of mining Scarlet before County Line is attractive for numerous reasons, including efficiencies and extra runway to bring County Line online. We are pleased to announce we have brought our mining in-house and have leased a brand-new fleet of Komatsu equipment. We'd like to thank our previous mine contractors for their work, with the near-term movement of equipment to various mines, it made more sense to bring the mining in-house. We received our power grid permit and await NV energy to begin, the power line installation have been on site, and we're optimistic they will begin construction soon. We look forward to the energy cost savings by connecting to the power grid. We now have our heap leach expansion permit and look to acquire mine permits for North Scarlet and Golden Mile as well as an exploration EA for East Camp Douglas. We target permitting as many projects as possible under the Trump administration so that we have numerous mines to build and operate for many years in the future. This would allow us to weather another 4 years in a Biden equivalent desert if the next election cycle goes against the mining and business. With gold having reached record highs recently, I believe this pullback in the gold price is healthy as no market should go straight up. It's been my experience that pullbacks to fill in the market are important for the next leg higher. So we are not at 4,300 gold highs today, but rather closer to 4,000, and that is still a wonderful price to be selling gold at. Mainstream media is quick to tell you that the gold bull is over and they may be right. But there was a mainstream media -- where was the mainstream media in giving us the heads up that the big bone move was coming in the first place. More signs point to a higher gold price after this pullback concludes. Continue to defensively position the company to overcome the challenges created by the Biden administration while targeting to offensively position the company to permit and build our next mines under the Trump administration. With that, I would like to thank everyone for their time today on this conference call. And operator, if you could open up the lines if there are any Q&A.
Operator: [Operator Instructions]
Jason Reid: Operator, while we wait for questions, if there aren't any live. I have quite a few written ones. So let's get to some of those first. The first 1 being from Ray Lieb. Question, now that the permits are in hand for County Line, is there a production projection for the rest of '25 or '26? Answer to that is no, not yet. The second part of your question is AISC expected to remain around $1,956 per ounce? The answer to your question is no, that was a little high due to some CapEx. Yes. Third part of your question, there was a equipment purchase lease of $17 million on the cash flow. What is that? You heard me just mention that we decided to bring mining in-house. We've thought of this for a long time. It makes sense to do it now just because we're getting some permits. We expect to be at several locations, and it just made all the sense in the world to do that. Plus we're in control of our own destiny, and we really like that. Another question. Let's see, this is again is from Ray Lieb. Is there any progress on permitting for exploring Scarlet North. Are there any other outstanding drill results waiting asset? I don't believe there are any outstanding results, but we are actively working to permit exploring and ultimately, hopefully, producing Scarlet. We've hit some pockets of mineralization up there. But as you guys recall, we were only giving 1 NOI by the past administration, and we ended a gold program in ore or in gold, a drill program, and we want to follow that up and to find more. But we're actively working toward ultimately permitting Scarlet North. The more near term, as I mentioned in the conference call would be Scarlet South. It makes all the sense in the world with all the equipment and Pearl deep. If we can get that permit, hopefully, before year-end or early next year, we can cycle equipment back and forth. That will be really good if we can get that done and mine gold that's at Scarlet South. Next question from William [indiscernible]. Sorry if I mispronounced your last name. How much money would the company saved by paying dividends quarterly? William, we wouldn't save a whole lot. That would be nominal. I don't have the exact number, but we don't -- we have the dividend kind of on autopilot to pay monthly, and it's really not a big deal. If anything, it's just a little more administrative. So it would be nominal, any savings. Next question is from Richard Erickson. Has deep pit layback ore been collected and added to leach pad yet? If not, how soon will this be done? We are at the top of it, and we're making an access to get to the final couple of benches. And yes, then the Pearl will be done. But it's exciting that up until this point, this year, we've been removing waste for the bulk of it, and we are excited to get into the ore, but we're just about there. Richard. The next one, again for Richard Erickson, how many tons of ore contained in the deep pit layback, in at 1 average grade? I had this question before, and we're not going to give our estimates in large part, they weren't ever in a resource. To remind everybody, we never expected to mine this. We needed to mine it to create the bridge when we couldn't get any permits under Biden. And the gold price allowed us to go deeper and remove all this waste. So while we know there's gold there, it's not in a form of resource. We have some internal numbers. But ultimately, it's not going to matter until we actually mine it. That's the ultimate sample. So I don't have probably numbers for you on that. Next question from Scott McLeod. In a perfect world, if Scarlet came online, how many ounces do you think we'll be producing a month? I'm not going to speak to monthly yet as every production or even annual for that matter, as everybody knows, Biden administration knock us off of our horse, we're trying to climb back on. Now that the Trump administration is back in. So as our presentation -- corporate presentation stated for 4 years now, that we don't have an outlook. It's to be determined as a function of getting these permits. Let us get some -- our feet under, let us get this mine up and running, then we'll come out with some forecast. But until then, yes, we're just -- chopped up to be being knocked off our horse by the mining administration. Craig Hooper. Jason. Can you provide some details on how you manage the throughput of the expected recoverable ounces on the pad in 2025 and going forward into 2026? What determine the ounces coming off the pad each quarter? Time under leach or is it based on pad capacity. All good questions. Pad is almost like a living entity of its own. You have multiple levels. You have the -- that's just following the checkerboard of cells that you're putting each cell under leach, under various times. It's good to pull them off of leach and then put them back on. So it's very complicated. But we manage it as a function of just operations. General Manager has a handle on what we think we need to put under leach, at what time and put back on the leach. But now pads are very complicated. The long and short of it is we're still pulling residual leach, which is good. I hope that gets the most of your question. Another question by [ Barry Van Dam Bo ]. Apologies if I mispronounce that. What do you expect to produce at Isabella Pearl in the coming quarters? Again, I'm not going to speak to any production estimates, as a function of -- we just got our permit from County Line. Working on Scarlet. Let us get our feet under this and then we'll come out with projections. Operator, are there any live questions that we should get to?
Operator: You do have a question coming from John Bair with Ascend Wealth Advisors.
John Bair: Glad to see things starting to fall under place here. So I've got a couple of questions. Number one, when might you or will you make any kind of a press release as to -- once you decide, determine when you think County Line might be up and running? Do you anticipate putting out any kind of news release as to construction beginning and so forth?
Jason Reid: Yes, that's a high likelihood. As the comments, and I'll just reiterate them here. But as the comments in the call, we had hoped that we were going to get Scarlet South permit in an ideal world that helps the mining, and let me explain a little bit why that is. As we go deeper in the Pearl, the space available is very limited. So when you're trying to do your blast haul cycles, you've got a lot of downtime with equipment up top. So it would be great if we can bounce back and forth and do each of those cycles from Scarlet -- equally at Scarlet South and the Pearl. That's -- that would be ideal. We thought we're on the cusp of getting that and then the government shutdown. So man, you talk about weathering 4 years of Biden and then the government shuts down. But hopefully,, they get back up and running. And hopefully, we get that permit. If that doesn't happen in time. when we're done with the Pearl, then we're going to go over to County Line with full force. We -- as we mentioned, we already started drilling the well where we're doing some road infrastructure, et cetera, and preparing for that. But because that's in flux, let us get a little clarity and then likely permit that we're -- or excuse me, PR that were officially "County Line".
John Bair: So real activity on County Line doesn't get started until these other 2 fall into place. Is that -- that's [indiscernible].
Jason Reid: Well, it could start right at the end of Pearl though if Scarlet South doesn't fall into place. We try to bake in a lot of optionality. You guys have always heard me say, we have Plan A, but plan A, rarely works. You've got a B, C, D and E. And so we have all this optionality. Plan A is Scarlet South, that would be wonderful just as an efficiency and moving equipment back and forward because it's only about 500 meters away. I would have loved to have had that answered, if the shutdown wouldn't happened, we might have had that answer. But at this point, with the shutdown, let's wait until that stops, let's see when we get the permit. And if it doesn't come in at Scarlet South soon enough, we'll just move everything over to County Line and hit that hard. But yes, you should expect some sort of press release in that regard.
John Bair: Okay. Very good. Second question, how long are the lease -- the equipment obligation. Is that an actual outright purchase or a lease purchase? And how long is that -- what's the duration of all that?
Jason Reid: Yes, it's a lease, and they're all short term. And the reason being is kind of like what we do with a lot of our light rolling [indiscernible] trucks, smaller trucks like Ford F250s, et cetera. We lease them short term and then the owner, which in this case is Komatsu, doesn't want it to go up certain hours -- over certain hours and then they come and get it and switch it out. So we're doing a similar thing with this heavy equipment. So it's all short-term lease. The way we view this is that the mining contractors were doing the same thing, but then obviously, they up charge us because they're doing it. And then the delta that they were making working for us. Now that it's under our umbrella, we hope to keep. So it makes a lot of sense to do this. And if everything works as half of what we planned. We should see some benefit both in directing our own future and not having to [ baby sit ] as much et cetera, but more importantly, holding on to some of that built that they were making for us. So it just makes all the sense in the world. Also, we're going to be moving equipment in a lot of places. And it's not uncommon when you do that with groups that own equipment that they get you mob and demob charges and use that as a means to renegotiate. And we're not going to happen to address any of that because we're -- we brought it all in-house. Basically hired the same team of people because they're local, and now they work for us. So I mean, it's just -- it's something we always envision doing. It's just a lot to do early on, but now it just makes all the sense. We have -- we get Scarlet south, we're going to have multiple mines, we've got multiple locations, makes a lot of sense to do.
John Bair: Yes. No, I agree. That sounds interesting. Last question. Do you have any active drilling going on exploratory type? There was some modest expense in this most recent quarter. And if you do, where are you doing it at?
Jason Reid: No, anything you see on our expense line item is not drilling for the most part. Yes, we're not doing any...
John Bair: I thought there was like $1.7 million in exploration. maybe I misread that.
Jason Reid: No, no. You didn't misread it, but a lot of exploration costs aren't just drilling. Just when you see an exploration cost, it doesn't mean just drilling. We have an exploration team. They're not doing a lot of mapping. They're doing other studies, they're doing other things. We're not -- we don't have an extensive exploration program by any means. We just don't, in large part, having been knocked off a horse, we've cut back on things trying to weather and get these other mines up and running. So no, we have not split the switch to go back to exploration drilling yet in any material way.
John Bair: So no drills. Yes, no active drilling going on.
Jason Reid: No.
John Bair: Do you have any assays that are out there that you're waiting on results for?
Jason Reid: We had that 2 tranche of assays that were stuck in the lab for a long time and came back from long drilling quite a while ago. I don't believe we have any more. But what was wonderful about those assays, and they all had to do with County Line, for anybody listening that didn't see that. County Line has 2 pits and that drilling told us that there's expansion potential, not only in the pits, but south of the east pit for sure. This is an area that hasn't been mined before. Also very exciting over there, 1 of our best targets, our VP of Exploration, tells us is this hill or knoll, that's north of the County Line big pit, that's never been drilled. And structurally, that's the biggest target. So between those drill assays that point to additional gold ounces. And it's 1 of the reasons why we mentioned, and have mentioned, and I'll mention again that we're looking to possibly update that resource because we think we added ounces over there. But they're working on that right now. They're working on the County Line 1. So County Line has a lot of upside as well, which is great. But no, we have not gone back any exploration in a material way for new areas. Operator, if there's another call, we'll take it live otherwise, there's a couple of more written questions.
Operator: There are no questions in queue. [Operator Instructions]
Jason Reid: Okay. [ Barry Van Dam Bo ] has another question. Can we expect to see the dividend back at $0.04 per month or probably much higher as the gold price is now much higher compared to a year ago? Great question. we'd love to go back to that. That's not going to happen in the near future in any form or fashion. Again, I think if you haven't heard it, you're going to hear from me again, we're trying to get back on horse, having been knocked off by the Biden administration. So let us get that done before we do that. I mean right now, we're tightening our belt. You heard me talk about not exploring. We're not doing all these other things. We're still paying a nominal dividend. So 1 could argue, should you even be paying a dividend right now when you're trying to keep your belt as tight as possible. We're trying to walk that fine line. And so yes, in an ideal world, we love to go back to the dividends of old. But right now, we need to take our capital and focus on getting back on the horse fully. So that's what we're going to do. So no, I don't expect dividend increases in the near future. And we don't tie it to the gold price. It's not a function of the gold price. It depends on what you're doing. We're about to build mines. That takes some money, even though the mines we're going to build are inexpensive in as much as the hub and spoke that we're trying to do where we don't build everything at each facility. We're trying to just direct ship ore and such. It will be some of the cheapest CapEx is -- for a mine in the industry, but it's still CapEx. So we've got to keep our belt tightened. So hopefully, that gets to your question. Ray Lieb came back with another question. Is there any progress getting electrical power to the site? Not a lot, Ray? They have come out. There was a little bit of issue on their end with a couple of groups talking to each other on their end, not us. We think they have that sorted and we are just itching to hear a construction start date. I think that's the best update I can give you. I would have liked to have had the line done by now. But as you guys fully know that have been following us, we've been trying to get this power line for over 5 years. And we got nowhere during the Biden administration. So Trump gets in and all of a sudden, it just popped out of the blue. We kind of -- I don't want to say given up, but we just quit pushing on them because we're getting nowhere. And all of a sudden, we get boom, trumps in and boom, this drops in. So I credit his administration with that and his Department of Energy with pushing projects and we're part of that, I think. And it's -- at least it's moving, but it takes a while when you've gone from a standstill to a walk or run, and that's, I think, what's happening with the power line. But at least it's moving. So that's good news because we will save on energy costs when we get hooked to the power grid, which will be wonderful. And it also might free up 1 -- at least 1 of our diesel generators to take to our satellite deposits, if you will. So a lot of good things to come with that. Okay. Probably the last question we'll do today because it's running a little long. So let's make this our last question from Tom. Does the launch -- does the leach pad at Isabella Pearl have enough capacity for expected increases in mining activity? Great question, Tom. It does for the foreseeable future and a very large percentage of County Line. We'll be able to be put on that as well as all of Scarlet South. But when you combine them both, we're getting toward the max. So we will be expanding the heap pad at some point in the future. We're actively gearing up for that. And yes, but we're not in a race right now. We're going to be out of space. And we fully expect to have the expansion complete before we need it. I guess, is probably the cleanest way to answer that. Okay. That went much longer than I thought. So let's go ahead and conclude. If you were either on -- in the queue on live or I didn't get to your question, please call back, probably just call Greg, he's available. I am traveling right now. So less available, but if you can get me on myself, great. But call us if you have any questions at any time. Apologies if we didn't get to your question, but we're always available. So very good. With that, I'd like to conclude the call, and we'll talk to you guys next quarter. Thank you.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.
Jason Reid: Holly, thank you for your time.